Operator: Good morning, ladies and gentlemen, and welcome to the Henry Schein fourth quarter conference call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Carolynne Borders, Henry Schein's Vice President of Investor Relations. Please go ahead, Carolynne.
Carolynne Borders: Thank you, operator, and my thanks to each of you for joining us to discuss Henry Schein's fourth quarter and full year 2013 results. With me this morning are Stanley Bergman, Chairman of the Board and Chief Executive Officer of Henry Schein; and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I would like to state that certain comments made during this call will include information that is forward-looking. As you know, risks and uncertainties involved in the company's business may affect the matters referred to in forward-looking statements. As a result, the company's performance may differ from those expressed in or indicated by such forward-looking statements. These forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's Securities and Exchange Commission filings. In addition, all commentary about the markets we serve, including growth rates and market share, is based upon the company's internal analysis and estimates. The contents of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, February 11, 2014. Henry Schein undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. [Operator Instructions] With that, I would like to turn the call over to Stanley Bergman.
Stanley M. Bergman: Thank you, Carolynne, and good morning, everyone. And thank you for joining our call today. The management team at Henry Schein and the entire organization are very pleased that we completed yet another successful year. 2013 was a year in which we made a lot of progress in all 3 of our verticals and as well as in the infrastructure and the value-added services components of Henry Schein. Of course, we ended the year with a strong fourth quarter. Sales growth during the fourth quarter was solid, on plan. In fact, in a couple of areas, it was ahead of plan. We believe we gained market share in each of our 4 global business units, and we exceeded the top line -- we exceeded the top of our original EPS guidance range. So I think you will hear from the call good progress in each of our 3 verticals and our global practice solutions, financial services businesses, and that we exceeded the top line of the EPS guidance range. We have continued to advance our geographic footprint. Our product offering has continued to expand over the year through some strategic acquisitions, a couple of exclusives that we've added. Since we reported third quarter financial results, we have announced 6 transactions in our Dental business as well as 1 in Animal Health and 1 in Technology and the Value-Added Services side. These 8 acquisitions had total revenues of approximately $317 million on an annual basis. So we'll report further information, but let me start by asking Steve to review our quarterly financial results, and then I will return with some additional comments on each of our business units. Steve, please.
Steven Paladino: Okay. Thank you, Stan, and good morning to all. I'm also very pleased to report solid results for the fourth quarter of 2013. Our net sales for the quarter ended December 28, 2013, were $2.5 billion, reflecting a 4.9% increase compared with the fourth quarter of 2012. This consisted of 4.4% growth in local currencies and 0.5% growth related to foreign currency exchange. In local currencies, our internally generated sales increased 3.7%, and we added an additional 0.7% to acquisition growth. You can find the details of our sales growth in Exhibit A to our earnings news release, which was issued earlier today. Our operating margin for the fourth quarter of 2013 was 7.4% and declined slightly by 13 basis points compared with the fourth quarter of 2012. When excluding the impact of acquisitions completed during the past 12 months and related acquisition expenses, our operating margin declined by about 5 basis points. Our effective tax rate for the quarter was 29.8%, which is down slightly from the 30.6% in the fourth quarter of 2012 and is in line with our guidance. The lower tax rate is due to the continued implementation of tax planning strategies as well as higher earnings in countries with lower corporate tax rates. Going forward for 2014, we estimate our effective tax rate will continue to be in the 30% range. The net income attributable to Henry Schein for the fourth quarter of 2013 was $124.3 million or $1.43 per diluted share. This represents growth of 10.5% and 13.5%, respectively, compared with the fourth quarter of 2012. Foreign currency did not have any significant impact on the EPS for the quarter. Looking at our financial results for the full year, there were a number of highlights to report, all of which are records for us for the year. Our sales increased 6.9% to $9.6 billion. Cash flow for the year was $664.2 million and exceeded our adjusted net income by over $230 million. Our adjusted EPS increased by 11.5% to $4.95. And I think it's important to note that our EPS for the year was $0.04 above the top of our original guidance range, which was $4.81 to $4.91. So clearly, we believe 2013 was an excellent year. If you look at Exhibit B of today's earnings release, you can see a reconciliation of GAAP to non-GAAP income and EPS from continuing operations. Let me now provide some detail on our sales results for the fourth quarter. Our Global Dental sales for the fourth quarter of 2013 increased 3.9% to $1.4 billion, representing a gain in market share based on our estimates of market growth rates. This 3.9% growth consisted of 3.1% growth in local currencies and a 0.8% gain related to foreign currency exchange. In local currencies, our internally generated sales increased 2.6% and acquisitions contributed an additional 0.5%. Of this 2.6% internal growth, we had 2.1% growth in North America and 3.5% growth internationally. If we look at some details of each of North America and International, the 2.1% North American growth included very strong growth of consumable Dental sales of 4.3% and a decline of 2.4% of Dental equipment sales and service revenue. Remember, though, that in North America, our Dental equipment sales growth in last year's fourth quarter was 21.9% and, therefore, it really created an extremely difficult comparison. The 3.5% growth internationally included 1.5% growth in Dental consumable merchandise sales and a very strong increase in Dental equipment sales and service revenues of 8.6%. This growth was largely driven by the Sirona Cerec sales as well as upgrade promotion, and we are pleased to continue our success with this important supplier in Europe. Our Global Animal Health sales were $651.7 million in the fourth quarter, an increase of 6.6%. Foreign exchange did not have any significant impact on the sales growth for the quarter for this business group; and our internally generated sales contributed 4.8% to our sales growth, an additional 1.8% for acquisitions, primarily related to the C&M Vetlink acquisition. If we look at the 4.8% total internal growth on a global basis, it consisted of 7% growth in North America and 2.9% growth internationally. If you normalize our results to account for the switch from agency sales in North America, our North American sales growth was approximately 3.8%. This growth was impacted by lower sales of certain parasiticides, largely due to weather-related conditions in the quarter. We believe we gained market share in both our North American and International Animal Health businesses. Our Global Medical sales were $421.9 million for the fourth quarter, which was an increase of 4.8%. The bulk of that growth was local currency growth of 4.6% and the remaining 0.2% was foreign currency exchange-related. Of that 4.6% local currency growth, it consisted of 5.2% growth in North America and a decline of 6.5% internationally. If we look at the fourth quarter, we had very strong sales of seasonal influenza vaccines with $23.8 million sales for the quarter. And if you normalize and exclude the sales of influenza sales from both the current period and the prior period, our Global Medical sales growth increased 2.8%, with 2.6% growth in local currencies and over 3% -- 3.1% growth in North America. We believe that patient traffic to U.S. physician offices was largely consistent with the third quarter, the prior quarter, and we are confident that our focus on large group practices will allow us to continue to gain market share in the U.S. market. Our Global Technology and Value-Added Services sales were $88.4 million for the quarter, an increase of 8.6%. And that included 8.9% growth in local currencies and a 0.3% decline in foreign currency exchanges. In local currencies, the internally generated sales growth was also 8.6% and acquisition growth was 0.3%. The composition of that 8% growth was 6.7% in North America and a really strong growth internationally of 21.5%. We're really very pleased with our sales growth in both the Technology and Value-Added Services businesses. I'd like to point out something that will occur beginning in the first quarter of 2014 related to this category, and that is that sales of a specific dental software product will be recorded on an agency basis going forward. These sales were previously recorded as a direct sales. So the change will lower the sales in the Technology and Value-Added Services businesses by approximately $4 million per quarter, again, beginning in Q1 of 2014. Remember, though, that the profitability of this product line remains unchanged. It still remains a good profitability. It just is that the sales now are recorded on an agency sales basis. We will also provide normalized growth figures throughout 2014 to better analyze the growth of this category. So related to stock repurchase, we continued to be active in repurchasing our common stock during the fourth quarter. Specifically, we purchased 664,000 shares during the quarter at an average price of $111.04 per share, which translated to approximately $73.8 million. The impact of the quarter's repurchase really was not material to our EPS for the current quarter. For the full year, the company did repurchase a little over $300 million, $300.3 million of stock, representing 3.1 million shares at an average price of $97.71 per share. And this is really in line with our stated goals of purchasing between $200 million to $300 million per year and obviously at the high end of that goal. At the close of the fourth quarter, we still had an authorization for future repurchases of common stock of $300 million. And we remain committed to our goal of repurchasing between $200 million and $300 million of stock for 2014, barring any unforeseen circumstances. Let's take a look at some of the highlights for our balance sheet and cash flow for the quarter. The operating cash flow for the quarter was very strong at $274.6 million compared with $199.7 million in last year's fourth quarter. The operating cash flow was a record for the year of $664.2 million and our free cash flow was over $600 million for the year. As I mentioned earlier, we are very pleased to have exceeded our goals related to cash flow and free cash flow. Accounts receivable days sales outstanding was 39 days for the fourth quarter, which is essentially unchanged from the 38.9 days in the fourth quarter of last year and, on a full year basis, it was relatively consistent also. Days sales outstanding for the full year were 40 days this year compared to 39.8 days last year. Inventory turns also were consistent quarter-over-quarter. Fourth quarter being 6.2 turns compared with 6.1 turns in the fourth quarter of 2012. And also for the year, they were approximately 5.9 turns compared to 6.2 turns last year. So I'd like to conclude my remarks by affirming our 2004 financial guidance as follows. For 2014, we expect the diluted EPS attributable to Henry Schein to be $5.29 to $5.39, which represents growth of 7% to 9% compared with the 2013 results, which excludes certain onetime items that are noted in our press release. It's important to note that we expect the growth in EPS for 2014 to accelerate over the course of the year due really to a number of factors, including the timing impact of recent acquisitions. And that's primarily related to BioHorizons. And just remember that the inventory revaluation associated with the BioHorizons acquisition will have a negative impact, primarily on the first quarter of 2014. This inventory step-up is a noncash expense and is directly related to acquisition accounting for this business. Finally, of course, our 2014 guidance is for current continuing operations, as well as all the previously announced and completed acquisitions, but does not include any potential future acquisitions. So with that, I'd like to turn the call back over to Stan.
Stanley M. Bergman: Thank you, Steven. Let me take a few minutes to provide some additional detail on each of our business units. So on the Global Dental business, gains in North America Dental sales included solid growth in the consumable merchandise category, while equipment sales and service revenue declined slightly, following growth of nearly 22% in the prior year quarter, in the 2012 versus '13 which, of course, made for a very challenging comparison. But if you average those off, it's still about a 10% increase in sales each year, which we believe is an excess of the market growth and, therefore, very pleased of the fact that we continue to gain quite a bit of market share on the Dental equipment side here in North America. Of course, we're very pleased to report the International Dental sales returned to growth during the quarter on consumables, which is a good sign that the European dental market has stabilized. And we posted very good gains on the equipment side and equipment sales and service revenue growth on the International side of the business, Dental side of the business as well. With the strong focus on delivering value, particularly through equipment and software solutions, we are proud to partner with key multinational dental companies, specifically on the equipment side: Sirona, Planmeca, Danaher. We believe we have the best selection of products in the world, best offering of products combined with solutions, Henry Schein access to Sirona's largest distributor of Cerec and CAD/CAM systems in Europe. And now through our relationship with Planmeca, we offer a broad range of dental imaging equipment and related software. And of course, for a decade, we have partnered with Danaher to deliver dental consumables and innovative solutions that are accelerating the adoption of digital technology in the dental office including, of course, the state-of-the-art 2D and 3D imaging. So together with these manufacturers and a number of other equipment manufacturers and supplier partners, we really believe that we continue to be in the best position to help dental practitioners elevate the quality of the patient care they are delivering, utilizing this new technology and so, of course, improve the long-term success of their businesses. This combination of providing and generally in an open architecture way the best offering of equipment, value-added services, in particular software, we believe will continue to allow our practitioners to operate a better business so that they can provide better clinical care and in the long run, a lot of these new technology is going to give Henry Schein a terrific sales runway in the years to come. As I mentioned at the start of this call, we have announced a number of strategic transactions this past year. At the end of 2013, we acquired approximately a 60% interest in BioHorizons, which expanded our position in the dental specialty markets. This is a strategy that we've been marching to for several years now. BioHorizons is a U.S.-based manufacturer of advanced dental implants. The products are sold in 85 markets around the world. The company had annual revenues of approximately $115 million, with about half of that coming from the U.S. So if you look at our position today in implants, you'll see we've made terrific progress in the last few years. This agreement with BioHorizons strengthens our position in a critical and growing market. It also includes our investment in Camlog, which is, of course, a leading manufacturer of dental implants in Europe. We're quite pleased actually to announce and report to our shareholders today that in mid-January, we acquired the remaining minority interest and now own 100% of Camlog. With the BioHorizons and Camlog investments, we have made important strides in our implant business, in particular, in 2 of the world’s largest implant markets, namely the U.S. and Germany. To that, you could, of course, add Canada and a number of other European markets and Japan. And we were comfortable that we continue to grow our presence in a very profitable way in the dental oral surgery markets with a focus on the key product offering of implants. Both BioHorizons and Camlog will operate independently and will leverage strong brands and unique product features and benefits while offering customers a broad range of treatment options. Also of note, BioHorizons' strength is our product portfolio in the biologics market, which is critical to our goals in advancing our position in the oral surgery field. Of course, we carry many brands in that space and are continuously working to expand our footprint in the biologics with world brand leaders and very, very important for us. The advancing in the BioHorizons area, the whole implant area, oral surgery area, is complemented by the announcement we made in the first days of January when we announced another important strategic transaction, whereby we acquired 5 dental businesses from the Dutch company, Arseus. These businesses strengthen our European Dental and Technology operations. Each one of these 5 businesses has the critical, strategic -- call that a critical, strategic piece of a puzzle; and includes the French dental practice management software, Julie, making us, I believe, now the largest provider of dental software in France, as well as 4 key distributors serving dentists: dental laboratories, dental universities in France, the Netherlands and Belgium. The total annual sales acquired of these companies acquired amounted to $97 million on a historical basis. These transactions have now all closed. Julie was closed in the last year and the others were closed recently in the last few weeks. These -- our sales businesses operate in attractive markets with good growth prospects and have achieved strong market positions and excellent brand value. These acquisitions represent a strategic French dental dealership adding to our important product offerings in France. The software company, Julie, will strengthen our lab presence in 3 very important markets: France, the Netherlands and Belgium. Each acquired company also has an excellent business and cultural fit with Henry Schein. We know many of the leaders, managers in these companies, and we expect terrific and smooth integration with our management team and our culture. We look forward to leveraging our global best practices in these businesses, but also acquiring some excellent talent. And of course, this will add to our already very strong position in the European market. In February, we announced the acquisition of Lincoln Dental Supply. Lincoln sells products and equipment primarily to dental labs in the United States and Canada. They distribute branded products as well as private label products, had sales of about $18 million last year. The transaction, of course, is an excellent commercial fit with our Zahn Dental laboratory business, and strengthens our presence in important laboratory market, particularly in the northeast of the United States. So if you take Lincoln and Arseus, you will see that we have strengthened our global lab footprint. You add BioHorizons to that, you'll see we have cumulative strength that we've added in the whole prosthetics field, in general. And so, overall, with our software investment in Julie, we have advanced all 3 component parts that are articulated so carefully in our strategic plan. So overall, I must say, we're very pleased with our Global Dental business, which is by far the largest dental business in the world. We've made terrific progress on the management team side. Jim Breslawski continues to lead that business, experienced dental senior executive. And I must say, overall, that we're very, very pleased with the progress we've made on the Dental side together with our investments in all the specialty businesses, in general, on the Dental side. Let's spend a few minutes on our Global Animal Health business. This business once again performed very well during the fourth quarter. North American internal sales growth in the high single digits is consistent with our stated goals. And International Animal Health internal sales growth in local currencies accelerated slightly versus the prior quarter. In addition to the strategic Dental transactions I just described, we also announced a very important strategic Animal Health acquisition in the fourth quarter. In mid-November, we have announced that we had entered into a definitive agreement to buy 80% of Medivet, which is a leading distributor of animal health products and services in Poland. In fact, we believe the largest and a very important market in Poland. We expect this transaction to close later in the year. Medivet marks our entry into the Polish animal health market, and we really are delighted to do so in a leadership position. Our Animal Health business now has operations in 12 European countries, and Medivet will provide strategic base, a very important strategic base, for our expansion into Eastern Europe. Just met with a number of very important global suppliers of animal health products, and I think our desire and our execution on our plan to continue to become an even more important global animal health distributor is being well received by those manufacturers that we work with closely. So very, very pleased to report again very good progress. Lonnie and her team, on the Animal Health side, are doing a great job. So now, let's turn to the Medical business. We reported growth -- good growth during the quarter, benefited from, of course, from the strong sales of seasonal flu, influenza, versus the prior year. So good growth versus the prior year. While growth, excluding the impact of the flu, slightly accelerated compared to the third quarter, we feel that the strength of this business unit will be felt even more in the years to come. We believe that traffic in the U.S. physician market is largely consistent with prior quarters, but we are really confident that the investment we've made in this area, specifically around the large group practice arena, the multiple locations under common management-type networks that are now growing and flourishing in this market, these are all areas that we have invested in, and we believe our investment is going to pay off very, very well for our shareholders. Of course, Dave McKinley and his team continue to do a great job as a thought leader and a provider of solutions to this rapidly changing market. The dynamics are changing rapidly and we believe that we are well positioned to help our customers deal with the new challenges and exciting opportunities of health care reform. So the fourth of our business units is, of course, our Global Technology and Value-Added Services business. Growth in this unit was driven by, as we've reported in the past, electronic services, the recurring revenue, of course, software sales, and the big thing is the value-added services that this unit provides to our installed base. I might add that sales in the international markets were particularly strong. And we're excited, in particular, to add the Julie acquisition. That footprint will, of course, add strength in an important market. And we will continue to expand our global footprint in the software arena. I think we will disclose this, Julie adds about 8,000 installed systems in France. In France, we have a very strong position on consumables equipment, and now we'll have the software to complement that. Very pleased with the performance on our Practice Solutions side: Jim Harding, Steve Klaus [ph] and the team, Kevin Bunker. This is a world-class team doing extremely good work servicing our customers across the board, and we have great confidence on the strategic importance of this business, and we'll continue to invest heavily in this area. So this is the call that relates to our year-end conference call. Let me reflect back a moment to a few of the highlights in 2013. Of course, we are pleased that we have met or exceeded many significant goals for the year. I think all of the key goals, really, by and large, we've done well on. We've exceeded our strategic expectations, largely, balance the strategic plan goals we set for ourselves 3 years ago have been advanced in a terrific way. Of course, if you look at the short-term matters of guidance for the year 2013, which we announced, I believe, in the fourth quarter 2012. We exceeded that -- the top of the guidance by $0.04. We completed 10 strategic acquisitions. About $300 million of business was added. We did very well on the cash flow side. I believe we generated about 1.5x our earnings in cash, so we turned our earnings into cash plus we reduced our working capital, and other ways in which we generated cash. So overall, the cash aspect of the business is doing very well. And at the same time, we acquired $300 million of stock, all in line with our goals. Henry Schein's commitment to our customers and the communities that we serve was evident practically every day in the business for 2013, most notably with our support of suppliers and financial aid after the several horrific events including Sandy, Hurricane Sandy, in the U.S. East Coast; the devastating tornadoes in Oklahoma; the typhoon in the Philippines; our commitment to various community outreach programs, such as Give Kids A Smile, the ADA's leading -- American Dental Association's leading outreach program; our Back to School program. All of this, I think, fuels our commitment to advancing shareholder value, advancing what's in the interest of our team, our suppliers, our customers and our investors, leading to a very good solid return to our investors now over the past 18 years that we've been a public company. If you look at just the leading indexes, we are delighted to enter -- we were delighted to enter the top 300 Fortune 500 rankings of the largest U.S. corporations, now ranked #296 on the 2013 list based on 2012 numbers. So with that as an overview, we feel quite pleased with the progress we made in 2013, excited to go into 2014 with a high morale in the company, solid management team and, generally, a business that has strategic purpose, and executing on that purpose. So with that in mind, Steven, why don't we, and Carolynne, why don't we open the line to some questions?
Operator: [Operator Instructions] Your first question comes from John Kreger with William Blair.
John Kreger - William Blair & Company L.L.C., Research Division: The North American Dental consumable growth, I think you said 4.3% was very impressive. Do you think you can hold that sort of level as you progress through 2014?
Steven Paladino: I think we feel that we'll be in that range. And I hate to be so specific and, say 4.3%, because if it comes in slightly greater, slightly less. I think we'll be in that range. We did feel that Q4 was exceptionally strong. We did execute really well. We do believe that we'll see a little bit of improvement from the market, maybe at the tail end of the year. So I guess our goal really is to be consistent in that factor, but I just caution people not to really look at it so precisely by every 10 basis points.
John Kreger - William Blair & Company L.L.C., Research Division: Great. And maybe just a quick follow-up. It seemed like your European results for both Vet and Dental were pretty good, at least relative to what we expected. Do you feel like you're starting to see it turn in those end markets?
Steven Paladino: John, I think there's a general sense and, of course, this is a sense, it's not scientific, that Europe is stabilizing. I think no one's saying that we're returning to good times, but even I think in Southern Europe, 2 markets that we're in, Spain and Italy, there is a quiet confidence that we are going to get to stable consumable growth and even investment in equipment. So I think that's a little bit of the canary in the cage that I think is indicative of the fact that there is a sense that things are getting a little bit better or stabilizing to better in Europe.
Operator: Your next question comes from Jeff Johnson with Robert Baird.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: Stan, I thought I'd start with you. Just on the CAD/CAM business. Planmeca has moved pretty quickly here to rebrand NEVO and change out some software and all that. Could you talk maybe about the opportunity you think that creates for 2014? And then, also, I know you've had some supply constraints on the NEVO system on the manufacturing side here in November, December, whenever that was. Do you have a backlog of orders going into 2014? How is that looking as we go into the new year?
Stanley M. Bergman: Jeff, so our #1 strategy for Dental right now, and I expect for many years to come, is to continue with advancing our customers' virtualization of their practices, in the case of the dentist and in the case of the lab, the automation of the digitalization of the lab. There's no question that there's a huge opportunity on the hardware side, be it the scanners or the mills. On the software side, there's lots and lots of opportunity there, and both in the laboratory -- both in the operatory and the laboratory, and also some exciting materials, I think, are going to emerge over the years to come. So this is very, very important for Henry Schein. To the extent practical, we will support an open architecture because that's in the interest of the dental community. It'll take a while for the marketplace to adjust as it has in many -- in most other areas of dentistry to open architecture. All of our software, by the way, today, supports even our competitors' software interchanges. So -- and I think that's in the best interest of the practitioner. So I think it was important for E4D to add a leading brand to its name. And in that context, in the U.S. and Australia and Canada, New Zealand, we will be marketing the Planmeca line. And in other markets, we'll market Sirona, and I expect that our other manufacturers will all be coming out with some form of hardware and software. We do sell the 3M scanner in a number of markets and plus a number of other markets. So we're very excited. We're very pleased with the speed that Planmeca went about converting the E4D name to the plan scan name. And I think, overall, we're happy with our offering of CAD/CAM and related software, hardware and the key now is for Henry Schein to differentiate the offering that we make available to our customers. And I think you will see advances in dental and other areas like that, that will differentiate Henry Schein's offering as it has, as we have done for years. CAD/CAM and Practice Management software will connect. We will continue to invest our investment in school, in large group practice software over the years. We'll tie into CAD/CAM as well. So overall, the strategies here have been laid, they'll be adjusted and we will execute to them. As for the backlog, yes, NEVO, we sold quite a few more NEVO systems or CAD/CAM systems with the NEVO front in the fourth quarter than E4D had the capacity to deliver. I believe that with Planmeca being part of the management team now -- supporting the management team with E4D, the capacity will increase. We do have solid sales in that area, and I think our overall global CAD/CAM business will continue to grow with our goal to be the leader in that field.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: Fair enough. That's very helpful. And, Steve, on my follow-up question. I just wanted to focus on your International Technology business, up 21.5% in the quarter, you have a very strong number there. Can that persist into 2014, or maybe not at that level, but solid growth there. And then, maybe any color, is that some of the recent software deals you've done over the last couple of years? And I guess, the last follow-up on that question, just where have margins -- where do you expect margins to go in the Technology business over the next year or 2? They've been trending down with some deals, but it seem like they're reaching a point of stability. Is that true going forward?
Steven Paladino: Okay. So it's a few questions there. So one, the 21% growth, I think it's a little unrealistic to expect us to continue at 21% growth international software. I do think that high single, low double digits is doable for that business unit. They just had a blowout fourth quarter and was primarily in the Software of Excellence business that we acquired a few years ago. With respect to margins, I think, yes, margins probably will be consistent going forward, maybe with a little bit of improvement as we continue to grow sales and drive business towards e-services, which tend to have a little higher margin than the overall software sales.
Operator: Your next question comes from Jon Block with Stifel.
Jonathan D. Block - Stifel, Nicolaus & Co., Inc., Research Division: Maybe I could just ask a question on weather. And you guys don't usually make excuses but maybe, Stan, if you can talk about the weather and any impact you've seen in the first 6 weeks of 2014. And then, I'm just curious if you're seeing it more pronounced in any of your businesses. In other words, is it more pronounced in Vet relative to Dental or Medical?
Stanley M. Bergman: That's a good question. Actually, I was hoping somebody would ask that question because I think it is a relevant question. We, of course, had been experiencing inordinate difficulty because of the weather in a large part of the U.S. I think this is the first time cities like Atlanta have had a challenge because of winter weather. I think this will have an impact on some of our sales in the first quarter. We will, during our first quarter call, try to identify that impact. I think there will be a few less visits to dentists, probably to animal health practitioners, perhaps to some of the dermatology-type physician practices, but I don't think it will have a material impact on our bottom line. Of course, it will have somewhat of an impact, but we remain comfortable with the guidance for 2014 that we provided. I think our guidance always contemplates something like this occurring somewhere in the world, and it's just a little bit more intense this time in the U.S. But overall, we still feel quite comfortable with our 2014 guidance.
Jonathan D. Block - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And then, maybe as a follow-up. Just on the, and Steve, this is more for you, on gross margin expansion, it was up year-over-year. And I think it's really, maybe for only the second time in several years you've seen that. I'm guessing some of that is attributable to lapping the lower margin Vet acquisitions of the past. So just how should we think about this going forward? I mean, are you in the clear and able to get maybe some modest gross margin expansion as we look out for the balance of '14 into '15?
Steven Paladino: So, John, the gross margin really is primarily related to mix. So we talked about Technology sales growth being stronger and that helps drive the gross margin but, really, I think we focus more on the operating margin. And we've talked about even as recently as our Investor Day, we still believe that we can get operating margin expansion. The way we measure it is on, what I refer to as a same-store basis, so excluding any new acquisitions, which could be accretive or dilutive to our margins. And the goal really there is to get margin expansion of at least 20 basis points on a full year basis. We do believe that going longer term that there's the potential for that 20 basis points to expand a bit as sales growth increases, as market conditions improve a little bit. But right now, somewhere in that 20 basis points is a goal that we think is doable and achievable.
Operator: Your next question comes from Glen Santangelo with Crédit Suisse.
Glen J. Santangelo - Crédit Suisse AG, Research Division: Steve, I just want to follow up with you on that last point you were just making on your organic operating margins. Yes, I think in your prepared remarks, you suggested that your operating margin on an organic basis may be contracted 5 basis points. I'm just kind of curious, is that solely related to acquisitions, or is there something else going on there? And then, I guess, the question is at the current revenue run rate, do you think you can achieve that 20 basis points of operating margin expansion, or do you need revenue growth to accelerate a little bit?
Steven Paladino: No. So the -- again, so the 20 basis points at current revenue growth rates, we think is doable. That's what our plan is calling for, for 2014. The interesting thing is that, yes, while it was for the quarter, it was down a little bit 5 basis points. And that -- and, Glen, that 5 excludes acquisition impact. But on a full year basis, it was actually up slightly, excluding acquisitions. It wasn't quite the 20 basis points. It was high single basis points. It was 7 or 8 basis points improvement for the full year. One thing I'll point out that impacted Q4 is if you look at all the acquisition activity that we announced in early Q1, a lot of expenses set in Q4 to drive that acquisition expense -- to drive those acquisition activities in Q1. So we record the diligence cost, the professional fees, all of those acquisition, of course, as incurred. So they're always incurred prior to the acquisition being completed. So we're a little bit heavy in Q4 on those expenses because we did have a lot of activity that was announced in early Q1. The interesting thing also is that when you look at Q4, there was a lot of mix impact because when I look at the individual businesses, Dental, Medical, Animal Health and Technology, and this may sound like a contradiction but it's not. Each of them had margin expansion in Q4, each of them. And yet because of mix, it was down 5 basis points. So I guess the short answer to conclude is that we do believe that we can get operating margin expansion in 2014, and that's what our internal plans call for.
Glen J. Santangelo - Crédit Suisse AG, Research Division: And Steve, maybe if I can just ask a follow-up question on some of these recent acquisitions. It seems like you obviously trimmed your fiscal '14 guidance a little bit a few weeks ago when you announced these deals. And I'm kind of curious, I mean, what's driving that near-term dilution? Is it mostly the amortization related to these acquisitions? If we were to look at it x the amortization, would these deals be accretive in year 1 or is there something -- is there a new trend with respect to -- we seen any inflation in the purchase prices for these assets. Can you just give us a little bit more color? It would be helpful.
Steven Paladino: Yes. So clearly if we excluded amortization, they would all be immediately accretive on what people sometimes call a cash basis. What really happened is on a couple of the acquisitions, and most notably on BioHorizons, we kind of had a double negative impact. Because BioHorizons is a manufacturer, the amortization is higher than most distributors' amortization. And because it is also a manufacturer, the accounting requires us to step up the inventory. So really, to try to quickly describe what that means is that, effectively, we have to value the inventory on the date of acquisition at fair value less disposable -- disposal cost. So that fair value really reduces our profitability and we don't get our normal gross profit on that. So that's really negatively impacting the first year's accretion. We did say on the BioHorizons acquisition, if you just exclude the step-up in inventory, which is a total noncash charge, that deal would be neutral to EPS for the first year. And then, obviously, if you also exclude out amortization, it would be accretive. So I think BioHorizons, because it's a manufacturer, we're typically buying distributors, really, is a little bit unique and cause a little bit more GAAP dilution than typical. But we still feel like they're good strategic acquisitions. We still feel like we'll see accretion going forward. And strategically, as I think everyone knows, implants and dental specialty is very important to us, and we feel like it's the right thing for us to do.
Operator: Your next question comes from Brandon Couillard with Jefferies.
S. Brandon Couillard - Jefferies LLC, Research Division: Steve, the cash flow is exceptionally strong in '14. Should we expect -- anticipate a similar experience next year? And was there any stepped-up inventory buying in front of the end of the year in the fourth quarter?
Steven Paladino: Okay. So we did have the reversal of, in 2013, of the increased inventory purchases at the end of 2012 related to medical device excise tax. So I think if you look at that, that's probably somewhere around $150 million worth of benefit. So I would say that we're not going to see the same -- we'll be a little bit below cash flow in 2014 versus 2013 because of that benefit we got in 2013. And remember, that was -- it's a timing issue between '12 and '13. With respect to end of year buy-ins for the current year, we always do a certain amount of buy-ins, but I would not say that we had any unusual activity this year that we would need to call out separately going into next year. So we still think we'll get strong cash flow, certainly operating cash flow well in excess of our net income, which is our goal, but it will be a little bit down because of that onetime medical device excise tax benefit.
S. Brandon Couillard - Jefferies LLC, Research Division: And then, Stanley, if you could just take a minute and elaborate on the growth rate you're seeing in the implant market in Germany. I know Straumann recently came in with a price cut to at least one of its lines. How would you characterize the competitive environment and then just the aggregate market growth rate of the implant market in Germany? That would be helpful.
Stanley M. Bergman: Yes. I can't give you the exact expectation of the growth market in Germany per se, but I do think the market will move back into positive growth. And I don't want to comment on anyone's reduction in prices. I will tell you that we believe that Camlog continues to gain market share in Germany. We believe this is particularly so because of the introduction of the Easy implant system. We believe we have been taking share of the premium side. By the way, we plan on rolling out Easy throughout Europe. So I do believe the market in Germany will return. I can't tell you exactly which quarter. It's an environment of positive growth units. And we remain quite excited about expanding our presence in Germany, not only in the implant itself but, in general, to -- in sales to oral surgeons. So yes, and Steven can make some specific inquiry from our German sales team and we can give you some more information. But I just participated in a Camlog meeting about 2 weeks ago, and our team is feeling pretty good about our position in the German market.
Operator: Your next question comes from Robert Jones with Goldman Sachs.
Nathan Rich - Goldman Sachs Group Inc., Research Division: This is Nathan Rich, on for Robert. My first question is, if we look at the performance in Dental equipment on International side this quarter, can you help us contextualize this, I think you said that performance was helped by some upgrade promos you did around Sirona Cerec system. How big of an impact did that have in the quarter, and how should we think about the run rate for International equipment growth going forward?
Steven Paladino: Well, we had -- I would say that, certainly, the upgrade promotion helped drive very strong growth. And that won't continue all year long, but we'll still get upgrades in Q1 and beyond. I think, we -- and I don't want to really get into that level of detail, but our growth, even excluding the upgrades, was also very strong. And so we feel good that, Stanley said a few minutes ago, that we're seeing some improvement and stabilization in the overall markets and we're executing well to that. To get double-digit growth in equipment in any market on a consistent basis is a tall order, but we feel that we'll still grow in equipment and we have good opportunities there. And every so often, you get the benefit of upgrades or other activities that allow you to exceed your normal growth rate.
Stanley M. Bergman: But our German business, in general, I think we could say, our European business is quite stable. We're very pleased with our management team, just had our German national sales meeting and the morale is really very, very good. And I think our management structure is very deep, our management team in Europe. So we feel comfortable, and I don't want to comment on any particular quarter, but I feel comfortable that we'll continue to gain market share in Europe and, in fact, globally in all of our Dental businesses.
Nathan Rich - Goldman Sachs Group Inc., Research Division: That's really helpful. And then, this one is a follow-up, kind of looking more broadly, at this time last year, we had concerns about the fiscal cliff and some tax increases. But when you look out to 2014, how do you feel around kind of how dentists are willing to spend on equipment? Do you think there's kind of more receptivity to that and maybe especially as it relates to CAD/CAM, what are you seeing there?
Stanley M. Bergman: I think at the end of the day, equipment is going to be sold basically based on replenishment or replacement of equipment that is not functioning any longer. So I don't think that's the big growth. There's some opportunity there, but I'm not sure that's the big growth. The big growth is coming from equipment where we can prove to the practitioner that 2 things will happen: one is it will be an investment in the practice and increase productivity and profitability; and the second is in order for that to happen, it will also have to be equipment that adds to the quality of clinical care. And by the way, this is not only for Dental, I think the same will be the case in Medical. And we feel that the digitalization of dentistry provides such an opportunity, especially coupled with software. And we have invested significantly in our software businesses, both in the area of the cloud software, the Ascend software, which we're starting to sell now and will make an important contribution to the effectiveness of practices. And in addition to that, we've invested in, as I mentioned earlier, on the school software, in the large group practice software, various kinds of e-services, all of this, in combination with CAD/CAM. And with CAD/CAM, I believe, will drive our sales in the equipment area. And in general, yes, we expect to have some replenishment sales of the standard-type of equipment, but I think it's in the newer equipment that adds to productivity improvements, the quality of care improvements that we will do well. But we'll have to prove to the practitioner that it's a worthwhile investment. We're not back to pre-2008 times with these practitioners. We're just investing to change the color of the chair. And I'm overstating that point.
Operator: Your final question comes from Michael Cherny with ISI Group.
James Clark: This is James, on for Mike. Just a question on guidance. You talked about earnings accelerating through '14. I'm just wondering if you can, I guess, elaborate on the magnitude of the progression. And then on top of that, if you can talk, does 1Q reflect any of the weather impact you talked about earlier on the call?
Steven Paladino: Yes. I think there's a little bit of the weather impact that we're trying to consider in Q1. Again, Stanley covered that in an earlier question. While we don't believe it'll be material to us, and we still feel very comfortable with our guidance. I think when we look at the progression for the year, there's a little bit of impact baked into that comment. Really, it's not a significant impact, I would say, that you're probably looking at -- the whole year is 7% to 9%. You're probably at a little bit below that range in Q1 and then accelerating throughout the year, which is really typical for us. It's not just the weather, it's not just the acquisitions I talked about. We tend to, when we complete our budget cycle, when we're making investments in people or other things, we tend to hold off a lot of that until the budget is complete, so it happens in Q1. So really is, if you look I think at our historical trends, that's probably a true statement, that Q1 growth is always a little bit lower. Again, you got to back out the acquisition activity related to that. So it's not significantly material, but I thought it was important really to mention given that it would not be even throughout the year.
James Clark: Okay. And then, I think you talked to traffic at Medical being flattish sequentially. Just wondering if you could talk about traffic in the other businesses.
Steven Paladino: Yes. We felt bad. If you look at Dental and Animal Health, first of all, there's really not a lot of great data on this. A lot of this is, looking at key products that are sold, speaking to manufacturers, speaking to certain customers, speaking to some of the large group practices. And I guess we feel that you probably saw in Q4 a little bit of an uptick on Dental and Dental patient traffic. I would say, Animal Health probably, you did not see that because, again, as I mentioned in the prepared remarks, because of cooler weather in Q4 than the prior year. You had less flea and tick treatment so less people bringing in their pet because of flea and tick, but that's kind of just a timing thing. But I think if you had to look at the big picture market, it's very stable. We expect that they'll continue to be stable with some slight improvement going forward. And we're hoping that, that slight improvement could actually be better than that, but we're trying to be conservative in our guidance when we're looking at overall market conditions.
Stanley M. Bergman: Okay. So thank you, everyone, for calling in. We are pleased with our results for 2013, excited, as I noted earlier on, with our plans for 2014. At this stage, we're quite comfortable that the markets are stable and that we, at Henry Schein, will continue to improve on our market share in each of our business units, that each have goals to that. These teams are experienced, generally delivered to the company, each one of our business units, each one has plans for investment in growing their units, each one has plans for how they will deliver on their numbers. And we're generally excited, not only with the strategies for this year and the execution of the tactics in our strategic plan, but also for the strategic future of the company. And very, very excited with what we're getting. And thank you, all, for your interest. And we will be back, I think, in 60 days, Steven.
Steven Paladino: Yes.
Stanley M. Bergman: Thank you very much.
Operator: Thank you. This concludes today's conference. You may now disconnect.